Operator: Thank you for standing by. This is the conference operator. Welcome to the Third Quarter Fiscal 2021 Financial Results Conference Call and Webcast for Quipt Home Medical Corp. As a reminder, all participants are in listen only mode, and the conference is being recorded [Operator Instructions].  We remind you that the remarks today will include forward-looking statements that are subject to important risks and uncertainties. For more information on these risks and uncertainties, please see the reader advisory at the bottom of the company's results news release as well as the company's MD&A, which you can find on the Web site, SEDAR and as may be included on EDGAR. The company's actual performance could differ materially from these statements. At this point, I'd like to turn the call over to Chairman and Chief Executive Officer, Greg Crawford.
Greg Crawford: Thank you, operator, and thank you all for joining us today on the call. My name is Greg Crawford, and I'm the Chairman and Chief Executive Officer of Quipt Home Medical. Joining me today is Hardik Mehta, our Chief Financial Officer. I would like to begin by applauding our over 600 Quipt employees for their continued commitment to providing superior patient care to improve the quality of life for all our patients served. The Quipt motto is exceeding expectations enriching lives as providing exceptional service isn't just something we do, it's who we are and it's who we will always be. It is the clinical services we provide that have allowed us to grow our market share and set our sights on growing into a national home care provider in the United States. The continued compassion care coupled with the secular tailwinds of health care being delivered and monitored in the home has fostered continued robust growth, including impressive organic growth of 11% year-to-date. As a reminder, Quipt specializes in end-to-end respiratory care, utilizing our interconnected health care platform, which leverages a sophisticated technology infrastructure and strong regional distribution footprint to streamline all phases of the delivery process. Known for our service intensive model, ongoing patient education and in-home respiratory therapy services we are able to operate a successful patient-centric ecosystem throughout the organization. At present, Quipt operates out of 60 locations in 15 states across the United States concentrated in the Midwest, Southeast and East Coast regions, completing hundreds of thousands of deliveries each year to more than 145,000 active patients with over 18,000 referring physicians. We continue to execute on our three pronged growth strategy through continued technology implementation, driving organic growth and closing accretive acquisitions. We are able to leverage technology and workflow processes to improve our operations, which continue to yield consistent performance across the business. We have the financial resources, operational fortitude and strongest regulatory environment we have had in a decade behind us to allow for the expansion of our geographical footprint and addition of additional talent across the organization. All aspects are a part of the strategy as we become a national leader in respiratory care across the United States. On this call, I will provide an update on the Philips Respironics, the continued bullish regulatory landscape and update our core business, which continues to be very strong with a focus on our record breaking third quarter fiscal 2021 results. As many of you are aware, in June, Philips Respironics announced the voluntary recall of certain respiratory devices related to polyurethane foam used in those devices. Philips Respironics has been a fantastic partner to us over the years, and we are committed to working through these challenges united together. Our ongoing dialog with Philips concludes that the entire cost structure will be pushed on to them as it relates to trade outs. As it relates directly to our business, I am pleased to note that we have additional strong supplier relationships with Philips representing only a minority percentage of the impacted category. Additionally, we are very proactive in getting ahead of the recall, including strong inventory management, device recovery and, as mentioned, working with an alternative supplier. Despite the recall, we have not experienced significant amounts of patients stopping the therapy, either CPAP, BiPAP or ventilation. We have not experienced the financial impact to our Q3 financials and are yet to see a material impact into Q4. We have the ability and are striving to drive new setups in other product categories to mitigate the future impact due to the recall. Our clinical team has done an excellent job working with patients and physicians to manage this complex process and we will continue to work diligently to minimize any future impact. On the regulatory front, we continue to operate in an extremely bullish environment. One of those major tailwinds propelling our industry comes from the decision made last October by CMS to cancel the 2021 competitive bidding program for 13 product categories. The cancellation of this program has provided us a clear margin outlook across our product mix and ensured our patient stability for the foreseeable future. Turning to the underlying business. We delivered solid year-over-year results and reached the high end of our run rate revenue guidance range nearing $105 million. Our strong performance was driven through higher volumes, higher cash collections and continuing to support the business with lower operating costs. Revenue of $26.2 million, adjusted EBITDA of $5.3 million was driven by our heavily weighted respiratory product mix highlighted by sleep ventilation therapy and continued strength in oxygen therapy. We are pleased for the nine months ending June 2021 that our bad debt expense has fallen to 8% compared to 10% for the same period in 2020, an improvement of 2%. This exemplifies our progress on scaling the business and ensuring optimal billing processes. The first rate infrastructure we have in place today allows us to position ourselves as a market leader and gives us the flexibility to add locations organic to the platform as well as efficiently integrate acquired assets. Our recurring revenue base continues to be extremely solid during the first nine months of 2021, with recurring revenue representing approximately 75% of our overall revenue. Our recurring revenue base provides us further stability and consistency as we look at our growth outlook, business model and financial reporting. Quipt is at such a pivotal time in the company's life cycle on the heels of reaching $100 million run rate revenue and entering four new states since mid-July, reaching 60 locations nearing 150,000 active patients and concluding a NASDAQ listing at the end of May, we are set to execute on the exciting path forward for us to build shareholder value. With that background, I'd like to hand the call over to Hardik to discuss our third quarter 2021 financial results.
Hardik Mehta: Thanks, Greg. Yesterday evening, we announced our third quarter financial results for fiscal 2021, representing the three months and nine months ended June 30, 2021. In reviewing the third quarter fiscal 2021 numbers, please note that all financial values are in US dollars and the full results are available on SEDAR and EDGAR. Here are some key highlights. In the third quarter of fiscal 2021, Quipt completed 95,192 setups or deliveries compared to 57,551 in the corresponding period last year, an increase of 65%. In the third quarter of fiscal 2021, Quipt completed 40,580 respiratory resupply setups or deliveries compared to 14,436 in the corresponding period last year, an increase of 181%. The company's customer base increased 74% year-over-year to 64,578 unique patients served in Q3 2021 from 37,128 unique patients served in Q3 2020. The company generated revenue of $26.2 million in the third quarter of fiscal 2021, up 41% from third quarter fiscal 2020. Not factoring acquisitions, the organic growth year-over-year was approximately 7%. The company's recurring revenue continues to be strong and it is above 75%. Operating expenses for the third quarter of fiscal 2021 was 50% compared to third quarter of fiscal 2020 of 51%. For the nine months ending June 2021, bad debt expense was 8% compared to 10% for the same period in 2020, an improvement of about 2%. This exemplifies our capability to scale and add more revenue through add-on acquisitions without compromising our billing capabilities. Adjusted EBITDA for third quarter of fiscal 2021 was $5.3 million compared to $4.4 million for the third quarter of fiscal 2020, representing a 21% increase year-over-year. Adjusted EBITDA margin for the third quarter of fiscal 2021 continues to be strong and was at 20% for the quarter. Adjusted EBITDA margin was impacted by onetime costs related to the company's NASDAQ listing from May 2021. Cash flow from operations for the nine months ending June 2021 was $11.9 million compared to $9.8 million in the corresponding period ending June 2020. Current assets totaled more than $61.7 million compared to $32.5 million in net short-term liabilities, demonstrating continuing strength in our liquidity. At the end of third quarter of fiscal 2021, cash balance was $30.6 million compared to $27.2 million on March 31, 2021. At the end of third quarter fiscal 2021, the company has an undrawn revolving credit facility of $20 million. We are proud with the continued execution displayed through the strength of our third quarter results, once again seeing the consistency of our model in full display. We saw revenue bridging $26 million, reflecting the high end of our revenue range target and EBITDA margins remaining above 20%, both having a number of onetime expenses related to NASDAQ listing. We continue to experience sustained growth across all product mix, highlighted by heightened demand for ventilators, sleep and oxygen equipment. We also continue to see very strong cash collections to the third quarter resulting from a continuous effort to better our revenue cycle management processes. Moreover, we have seen our business in Q4 2021 remain elevated and continue to be in a position to accelerate our growth trajectory over the near and medium term as we look forward to further our long term acquisition strategy. Furthermore, we remain extremely pleased with our operating performance through the third quarter and are pleased with the increasing organic growth rate, which has been a top priority for us. Overall, market conditions continue to be sound and we believe the tailwinds will continue to light the entire industry. Our infrastructure allows us to scale quickly and the robust financial position we have provides us the ability to target meaningful acquisition candidates that work significantly to move the needle for our coverage per in the United States. We expect to have a very busy remainder of the year as it relates to our M&A program and our organic growth initiatives. We are pleased to announce the addition of David Chester to lead our M&A and integration team. David is a healthcare executive with 21 years of experience with a specific focus on the home medical equipment and services industry. David comes as a Director of acquisition from one of the largest home medical equipment companies in the industry. We are thrilled to make this significant hire for our company and look forward to David being an instrument in the future growth of the company. In closing, we continue to have an active pipeline and we expect to see more strategic M&A opportunities throughout the remainder of the year. With approximately $33 million in cash on hand and an untapped $20 million credit facility, we strongly believe in our ability to add substantial revenue at a very fast pace. We will continue our disciplined capital allocation strategy for [delivering] our strategic goals and are more confident than ever in our market position and ability to quickly increase our scale. Thank you. And with that update, I'll turn the call back to Greg.
Greg Crawford: Thanks, Hardik. Quipt is undertaking an ongoing national expansion effort with the goal of economically growing our operating footprint to serve as a leader in respiratory home care across the United States. We have built out a significant infrastructure platform, which is highly scalable and allows the ability to efficiently integrate acquired businesses, resulting in meaningful cost synergies and revenue growth opportunities. The first nine months of fiscal 2021 has been extremely successful for the Quipt team. We saw solid organic growth of 11% through the first three quarters of fiscal 2021, entered five new states, added 35,000 active patients, important insurance contracts and over $15 million in revenue. We also rebranded the organization to provide us significant opportunity in our local markets as well as continuing to provide superior patient care. Year-to-date, Quipt has entered Florida, California, Missouri, Arkansas and Mississippi and will utilize a combination of the Quipt brand name post integration as well as leading an acquired brand in place where it makes sense. This marks the start of a longer term plan to transition certain local market brands to Quipt as it strengthens its brand equity and recognition, we strongly believe this will be a driver of future organic growth. Combining these newly acquired entities provides Quipt a pathway to grow into these new states with each business having a proven track record in the markets they serve and diversified product mixes. Across the industry, substantial tailwinds continue to be prevalent in 2021 when it comes to the importance of home care, whether it'd be patients, referral sources, payers or lawmakers, it is clear, the structural shift is well underway to ensure a patient is treated in a home care setting whenever possible. We are supporters and continue to work with payers on potential opportunities for a shift from fee for service towards one that incorporates the service we provide for patients after the delivery of the equipment. Our team has been focused on finding the optimal ways to grow relationships with referral sources and we are seeing the benefits of this across the organization. Turning to our operational execution. Earlier this year, we are pleased to continue overachieving as it relates to our growth objectives. We also continue to execute on operating efficiencies, generating strengthening organic growth and continuing to leverage our cost structure. Our efforts of communicating to physicians and patients through our technology platforms have certainly paid off in large part due to our investments over the past few years in cloud based technology across the back office and patient facing functions. We continue to invest in technology in order to improve our operating efficiencies, whether through the ongoing use of our telehealth platform, revenue cycle management or through our automated subscription based resupply program. These actions drive sustained value to the company and allows us to continue to increase our productivity. Now I want to take a moment to explain in a little more depth what we are doing differently and why we have been able to achieve the results we have and why we continue to be so excited about the future. We continue to successfully deploy a highly scalable connected healthcare platform focused on organic sales generation, accretive acquisitions with efficient capital deployment targeted margin expansion and cash generation. This model also encourages compliance, improves outcomes and drive engagement with patients. Moreover, we can drive early interventions, reduce hospitalization and monitor treatment plan effectiveness, which all serves as a benefit to the payers. I would now like to review with you the three components of our growth strategy. First, we are laser focused on capturing market share economically and profitably. Our industry growth rate is about 5% to 6% a year. However, we believe we can continue to significantly outpace the industry growth rate by focusing on significantly increasing our market share in key target regions within the markets we serve as well as opening up new markets. Secondly, we continue to lead the industry in technology deployment and our use of data mining tools to drive efficiencies and profitability. An example would be our robust subscription based model for resupply, which provides meaningful revenue synergies for us on the acquisition front. The third component of our growth strategy is acquisitions. We are looking for turnkey respiratory operations that can be seamlessly integrated into our highly scalable platform. As we look at M&A, we have three facets to our acquisition approach. The first being a focus on scale and hence, targeting companies in the revenue range of $5 million to $20 million with consistent annual EBITDA margins between 10% and 20% plus and large distribution volume, which can be leveraged by our platform. The second facet being focused on our ambition of becoming a national provider. This segment focuses on acquiring sub $5 million revenue targets with a strategic goal of expanding our payer mix and expanding our geographical footprint across new states. The third facet being a focus towards larger opportunities that would be more meaningful from a revenue, EBITDA, patient base and geographical reach standpoint. On the capital markets front, we have had a very exciting year completing our most significant milestone to date with the commencement of trading on the NASDAQ in late May. Since that time, we have been steadily marketing the company with US based institutional investors through road shows and conferences, and we will continue to be active on this front. We are pleased to have Eight Capital initiate research coverage and look forward to their support. We remain focused on ensuring the Quipt name, vision continued strong performance is echoed to the investment community. As I look at the evolution of our company, I am so proud of the entire team for their hard work and dedication to going above and beyond, and this is a culmination of those efforts. We continue to strategically position the company for continued robust growth. And given the current landscape of the industry, we must remain active in capturing the many opportunities that exist in front of us, and we have all the tools to do so. We could not be more excited for what the future holds for Quipt and our more than 145,000 patients we care for. Once again, I would like to take a moment to thank the entire Quipt team for its tireless efforts and its stakeholders for all their continued support.
Operator: [Operator Instructions] The first question comes from Doug Cooper of Beacon Securities.
Doug Cooper: Congratulations on the quarter. A couple of quick ones to start off, the $5.3 million of EBITDA reported, I just wondering if you confirm that, that does not include -- or that includes the transaction cost for NASDAQ, can you -- or the listing costs? Can you indicate how much those were as a onetime item?
Greg Crawford: I'll let Hardik take that one.
Hardik Mehta: In Q3, approximate value was around $400,000. So the total NASDAQ spend so far is not of $0.5 million.
Doug Cooper: So is it fair to say that the adjusted earnings ex that onetime item is closer to $5.7 million?
Hardik Mehta: Yes.
Doug Cooper: Just on the organic growth, my calculation for quarter-over-quarter growth Q3 versus Q2, you didn't get a full contribution for Mayhugh Medical in Q2, but my quarter-over-quarter growth estimate would be somewhere in the neighborhood of 5% or so. Is that fair? So 26.2% versus roughly 25% on a pro forma last quarter?
Hardik Mehta: Yes, I mean it's about in that 4% to 5% range, yes.
Doug Cooper: So that would be closer to 20% annualized. Was that a seasonal thing or -- it's much higher than sort of 11% that you've indicated for the nine month period?
Hardik Mehta: Yes, that is correct. I mean, as I said, we always say that the industry growth is around 5%, and we've been consistently delivering more than the industry average for the last three years in a row. And I think we will just stick to that, that we continue to expect to do that.
Doug Cooper: Revenue per patient…
Hardik Mehta: I'm not going to say whether we can do a 20% year-over-year.
Doug Cooper: Revenue per patient to $26.2 million divided by 64,500 patients, I get to $406, which is a little lower than it was in Q1 and Q2. Do you expect to sort of rebound back up or maybe just some thoughts on that?
Hardik Mehta: So as we have said this in the past about this particular topic, we really don't see revenue per patient as a reliable metric. A lot of variables go underneath that. It's just not a great comparison. So I see what you're saying, but I couldn't say whether it will go continue that way or it will change one way or another, just too many variables underneath that.
Doug Cooper: And my final one, and then I'll jump back in the queue. The revenue -- or excuse me, cash was up $3.5 million versus Q2. Is that all from predominantly from cash flow from operations or was there other things that we should note in there?
Hardik Mehta: Yes, it's a combination of cash flow from operations, some warrant exercising. And also keep in mind, we did had some acquisitions that were closing in June. So it's net of the outflow from those acquisitions as well.
Operator: The next question comes from Doug Loe with Leede Jones Gable.
Doug Loe: A couple of quick ones for me. I guess, first of all, encouraged about your feedback about continuing to bolt-on new acquisitions in the home respiratory care space. You now have a pretty solid interstate diversification [Technical Difficulty] Florida and Missouri and George, as you indicated, I mean as you know, in M&A strategies, I mean, diversification to positive and so it isn't and geographic clustering is positive until it isn't. So I was just sort of wondering how you're conceptualizing, how you might configure your geographic footprint going forward. Would the idea be to acquire regional firms that allow you to take advantage of existing hubs or do you expect to expand into other states not previously contemplated? And then I have a follow-up.
A - Greg Crawford: So our plan is to expand in that into new states when opportunities present we feel right now with the regulatory environment that there is a window here and that for us to expand. As far as looking at these new states, we've really been looking at states that have a high acuity of COPD patients, and that would be a good fit for our clinical programs that we could potentially expand in that around the state. So that's definitely a big part for us.
Doug Loe: And then the other is just with regard to especially with the health care services for a minute in a pandemic environment. I mean your focused indications are exclusively pulmonary and COVID-19 is an RNA respiratory pathway. So I was just wondering is there any any insights as to how your patient symptom configuration is being influenced in a contemporary COVID universe? Are you seeing a lot of COVID pathologies that are sort of reconfiguring your service base or any [configuration] [Technical Difficulty]…
Greg Crawford: So we haven't really treated a large number of active COVID patients, but we have seen an uptick in certain product categories, especially home oxygen and a lot of our disposable replacement supplies. So we tend to think in that that we're picking patients up earlier in the onset of their disease state, such as COPD or another cardio or pulmonary disease states, considering those referrals and that have kind of shifted in that throughout COVID from coming -- instead of coming out of hospitals more frequently and that we’re seeing more orders come out of physicians' offices.
Operator: The next question comes from Sepehr Manochehry with Eight Capital.
Sepehr Manochehry: Congrats on the continued operational excellence. Just a question regarding the M&A pipeline. Could you possibly characterize in terms of number of deals you're looking at, whether it's a ballpark estimate in terms of the number or the cumulative revenue opportunity that you're trying to capture, let's say, within the next six months or 12 months?
Hardik Mehta: So I mean, I guess the number of opportunities we are looking at and the revenue size is just definitely very, very large. Not all of that is going to translate into a deal. But as we mentioned on the call earlier, we do want to continue our our methodical approach and be good stewards of the capital. As far as the depth of the pipeline, I would say the depth of the pipeline is enough if we wanted to deploy everything we could if we just wanted to close on every single one that we have. So it's pretty large. The depth is not a problem for us. We just want to make sure we are deploying it into the type of companies and opportunities that are consistent with the three pronged strategy that we've been advocating for a while.
Sepehr Manochehry: And then I guess, would you say the mix is pretty even in terms of the targets you're looking at or are you focusing currently more on the sub $5 million to enter these new jurisdictions as a part of this national expansion plan?
Hardik Mehta: I would say, of course, you can allocate, do the percentage allocation in terms of revenue because it would be skewed. But if you look at it in terms of number of deals, I think we have equal proportion of deals in sub $5 million to $5 million to $10 million and then about $10 million. I think at this point, the about $10 million pipeline is also getting larger. I mean some of these deals are extremely large in size that we are looking at. But as far as the quantity or the number of deals in each of those three buckets, I think they are, I would say, very similar in terms of number of deals that we are looking at in each of those projects.
Sepehr Manochehry: And would you break kind of the total kind of current opportunity at a ballpark number, would that be 10% or above or below 10% or is that too rough of an estimate on numbers?
Hardik Mehta: Way more than 10% in terms of number of opportunities, I think the last time we said it was about $100 million plus revenue size, $100 million in cumulative value of revenue size, it's still holds true to that. Just some are just large that we are working
Sepehr Manochehry: And is there any changes in funding, whether it's government payers or hospitals specifically that you're seeing out there with regards to kind of the shift towards home health? Is there any opportunities that you see in the near midterm, or are there potential changes coming that you’re aware of and any of the industries you have exposure to for home health?
Greg Crawford: As we've been talking about for several months is that we believe we're in the best regulatory environment and reimbursement environment that we've been in well over a decade. With the competitive bid in that the 13 product categories being removed here for 2021, we've also seen some slight increases in oxygen rates that had begun in April. There's also some changes coming for the LCD for oxygen in that, which would open up some additional coverage in that for potential new patients. But nothing negative in that that we see coming. We just feel right now and that once again that we're really in the best reimbursement environment that we've been in, in well over a decade. We still feel there's a lot of opportunity for Quipt to start looking at national contracts in that with payers, whether it’d be fee-for-service or captation as we continue to expand in that into new states and cover more of a geographical area.
Sepehr Manochehry: And just off of that, my last question would be, is there a threshold that you're looking to meet in terms of being eligible for pursuing some of those broader national contracts? Do you need to be majority of states, let's say or how do you -- is there a benchmark you have to me in terms of patients served?
Greg Crawford: Yes, we can put a benchmark on it in that because I think each payer is separate from what they believe in that. We do have one national contract in that, that we believe will take effect in calendar Q4. So we're pretty excited about that. And that will really help on the M&A front when we acquire a company will be able to immediately add them to the national contract. So we're pretty pleased about that. And that particular payer was happy with the 15 states after ongoing talks.
Sepehr Manochehry: Presumably, that's going to continue once there's the initial -- you're probably looking at a pipeline add.
Greg Crawford: Yes, I'll say on that, that's really kind of something that's untapped in that for and Quipt at this point and that it has not been a big focus up until recently. So we feel there's a lot of opportunity and that's for us on the payer side and ways of adding additional payers.
Operator: The next question comes from Justin Keywood with Stifel.
Justin Keywood: Just on the Philips recall, are you able to give some additional context on the potential affected patients and how that could possibly impact organic growth, if at all?
Greg Crawford: So as far as the number of patients, that's something that we haven't released. I will say that it's been very minimal considering the amount of sleep devices that have been set up by the company over the period of the recall. At this point in that, there is a major shortage in that in supply chain issues in that four sleep devices. It's something we're continuously working through. We are on allocation and that with one of our large vendors. But at this point in time, we've also got a very large back order in that from our sleep life referrals and our patients and that because every company has basically the same issue in that with supply chain. So to date in that we have not seen any drop in our revenue or anything that would be material. But we're also building at the same time, we believe there's going to be a big pent-up demand at some point once the supply chain does back on. We don't have a time line or anything that we could really put on top of that. So I will say that things are better than they were in July, August. So if that trend continues things should get better. But I think the timing of that will really determine what the impact will really be and we just don't have a clear outlook in that from the manufacturers yet.
Justin Keywood: And given that this is an industry wide disruption, I assume some of your smaller competitors may be in a worse off position. Would this accelerate any of the deal processes and potentially lead to some lower valuation in the targets that you're looking to acquire?
Hardik Mehta: I mean, yes and no. It could lead into some desperate measures by some smaller sellers. But then on our end, we also want to make sure we are not buying a company which is just because it's a little bit cheaper when we would have some of the supply chain issues as well. So I mean it's not a slum dung answer to that question. We evaluate those on a case by case. We like to look at what their mix is in terms of Phillips versus the others, and whether we can acquire them and keep the continuity. So while there could be an opportunity, it could also mean that you could be buying something and you might not be able to service them at its historical levels soon after. So it's definitely a balance.
Justin Keywood: And then just on the organic growth for the first three fiscal quarters, it was mentioned at 11%. Are you able to bucketize that on the different segments being the home ventilators, oxygen and sleep therapy on what contributed to that 11%?
Hardik Mehta: No, we do not -- we have never done that, and we just do not like to project or break down our revenue on a segment basis. I think with the way revenue recognition works, especially with reserves and everything else it’s just a very complicated way of doing it in the detail. So that's the reason why we have not been doing this in the past and we still can at that point.
Justin Keywood: And if I could just slip in…
Hardik Mehta: On the conference call, respiratory lines have definitely been a pre contributor.
Justin Keywood: And just one more question. On the bad debt expense, I believe it was mentioned at 8% in the opening remarks. Is that a sustainable level that you see going forward?
Hardik Mehta: We've always said 8% to 10%, as long as we keep it under 10%, we feel it's a good metrics. So having said that, I would say 8% to 10% is still our range of comfort. As long as it stays in that range, we feel good.
Greg Crawford: I think one thing you have to take into account on the bad debt expenses on acquired assets, it does take quite some time to get them onto our billing platform, which could depending on the activity within M&A and that could lead to higher bad debt, maybe closer to that 10% versus if the business was just operating in a normal ordinary state without acquisitions. That's one of the most difficult things to integrate and takes the longest time being at two quarters or so before we really start to see those collection rates increase.
Operator: The next question comes from Bill Sutherland with the Benchmark Company.
Bill Sutherland: I had a quick question on the Delta surge and whether you've seen any impact in terms of discharges from whatever sources, and any impact on your own labor force?
Greg Crawford: So as far as the Delta variant, and that it is very prevalent in service areas and that that we service in the Southeast we typically will see a lull in our oxygen setups for the summer months, and I'll say that, that number has stayed strong in that as if it were December, January, February time frame when we would typically see a lot of COPD exacerbation. And yes, we have had employees out in that, but to date and that it hasn't caused any material disruptions around the organization.
Bill Sutherland: So Greg, you mean the discharges home whatever facilities, that hasn't been impacted in a negative from your perspective as far as accessing new patient referrals?
Greg Crawford: No, we've primarily seen an increase in our home oxygen in that for the Delta variant.
Bill Sutherland: And then the other one I had was interested in kind of how much expansion of the sales force you've implemented year-to-date and maybe your objectives there? I know you get some of that just by the acquisition process, but maybe some color there would be great?
Greg Crawford: So on the sales side in that, over the past, say, three to four months in that, we probably added around 12 to 14 additional sales representatives. We've identified over 50 plus markets in that that we are currently targeting in that, most as continuum areas in that, that we would add additional sales reps. I will say that is one thing that's kind of slowed again in that due to COVID and that adds more and more facilities and that have started locking down and not letting sales reps and in vendors and things. So we've had to be very cautious with that. But we're still pretty excited about the future and that from a sales perspective and the additional areas that we've identified that we believe that our services and that would resonate in.
Bill Sutherland: So you'll maybe take a little bit of a wait and see as the surge wise takes its course before you step up that sales expansion again, or are you going to just wait for -- I mean, obviously, for the productivity to kick in as well?
Greg Crawford: No, I'll just say we have to be a little more cautious in that than we were before. We really have to understand the market and what our targets are, are they closed. Those are things that we traditionally would not have to do in the past as to figure out whether or not a doctor's office is leading vendors in and that before we make a hire considering these are new areas. That's just part of the process. And we have just found that it's all over the board that some areas in that are just not let any one in and areas and that just have a set of rules that vendors are allowed in. So it's really all over the board. There's no consistency.
Operator: The next question comes from Rahul Sarugaser with Raymond James.
Rahul Sarugaser: Most of my questions have actually been asked through mostly Q&A. And forgive me if this has already been been answered, just looking at cost of goods. Is this -- the increase in cost of goods, is that as a result of prior recalls? Can you give us a little more color on how should we be thinking about that really going forward, particularly as a percentage of revenue as you continue to escalate?
Hardik Mehta: So the reason it is a little higher this year is, of course, it's proportional to how high the sales revenue is as proportioned to the rental and total revenue. Sales revenue are the key drivers on the inventory sold. So for increment in the sales revenue are just going to see a dollar-for-dollar increase proportional lower dollar increase on the inventory side. As far as giving guidance on how we see about it, we would say use the year-to-date number and that's probably a reflection of what you will see on a sustainable basis.
Rahul Sarugaser: But just to push a little bit further there, as a proportion of revenue, it's closer to sort of 29.5% pushing 30% whereas historically, we've been looking at sort of 25% to 27%. So on a dollar for dollar basis, it has sort of increased marginally. So that's why I wanted to make sure that for our modeling purposes, we are being accurate going forward, using maybe more historical number versus the slight potential outlier that this quarter might have been?
Hardik Mehta: And that's exactly why I said for guidance purposes, we would encourage you guys, the analyst community, to use the year-to-date number. The anomalies are already factored in the year-to-date numbers. So we feel very strongly and comfortable with suggesting that the year-to-date percentages can be used for modeling.
Rahul Sarugaser: And I should stop by saying congratulations on the strong quarter.
Operator: The next question comes from Chelsea Stellick with iA Capital Markets.
Chelsea Stellick: I just have a couple of questions, in particular on the latest acquisition. First off, I just kind of want to understand how much respiratory you can cross-sell through this new acquisition?
Hardik Mehta: So the new acquisition opens up a new market for us. But at the same time, we have other companies also in the state of Missouri that we could use to expand on the respiratory program. The company that we just acquired in Missouri, they do not have much of a respiratory presence at all. But as far as the opportunity in the [St. Louis] market is great whether we would do that, we don't anticipate doing it under the new acquisition. But under a previously completed acquisition from June, which has the contract in the state, we do plan to enter into the St. Louis market with a previously acquired company.
Chelsea Stellick: And I guess just…
Hardik Mehta: Within the contract that you need to do and to the respiratory market.
Chelsea Stellick: I think I missed that. I don't know if there was another person talking on the top.
Hardik Mehta: I was just saying that one of the companies that we acquired in June also has payer contracts in Missouri that we plan to leverage and use for the whole state, including St. Louis.
Chelsea Stellick: And I guess just a follow-up on that. I know earlier you mentioned your key focal points for growth, one being looking at turnkey respiratory operations as sort of your acquisition target. The last acquisition that was a little bit more traditional DME. Is that not going to be as much of a focus on traditional DME type acquisitions going forward or is is that -- how should I look at that?
Hardik Mehta: So we don't, I mean -- we look at each portion on individual basis. So as you can just see from the most recent acquisition, it has a different product profile than the typical respiratory companies that we have in our portfolio. So as long as it makes sense and as long as it falls with our strategy of expansion the payer contract geography and cross-selling abilities, we will continue to execute on those deals. Of course, we do prefer turnkey respiratory programs but that doesn't mean that all acquisitions we do will fit the exact same highlights.
Chelsea Stellick: And I guess just one last question from me. Hoping just to get a little bit more color on the insurance contracts that you mentioned. How long are these contracts, how material are they to operations?
Hardik Mehta: They could be transformational over the longer run on the payer contracts. As you go with the footprint and you get more lives and how you cover it, you can go back to your payers and export national contracts that helps our overall M&A program substantially and post close perspective and b, you can ask for some price increases as and when that is justified. So I think having more footprint, having more lives in the coverage is definitely critical if you are going to be in the health care space.
Operator: The next question comes from Doug Cooper with Beacon Securities.
Doug Cooper: Just to follow up, a couple of follow-ups. The new hire, David Chester, doesn't take long to see where he's from. How long will it take him to get up running and be productive? When did he start and is he up to speed on your business? And just how long would it take him to get…
Hardik Mehta: David is already up and running full speed. We've just had him up for a couple of weeks now, and actually just about a week now. And as you know, I was kind of primarily doing the M&A portion on my end on our end, and he's going to be a great asset and a great help to expedite on some of the pipeline that we have. So I mean, he's a very seasoned guy. He understands M&A. He understands process. We are extremely aligned on the philosophy and what we call the Quipt way, he's ready to roll. There is no round time. He has to pick up everything that we currently have.
Doug Cooper: The company came from was just focused primarily on larger opportunities so they certainly did a number of large deals. So does he bring that Rolodex with them? I'm assuming that his prior company has run into some trouble for sure or at least judging by the stock price and some other news around them. I guess is there any possibility to get more people from this type of situation?
Greg Crawford: I would say we have our own full pipeline and have no expectations of hiring someone and bringing over something that may belong to someone else, and that our focus is closing on the deals that we have in our pipeline, and that's what we fully expect in that to happen in the near term and the medium term here, the deals potentially of all sizes. As far as new hires, I think you will definitely see us continue to add talent in that, especially in leadership roles and that throughout the organization, that's been a big focus of ours. And we'll continue down that path here as we close out 2021 and going into 2022, as we do feel we have opportunities in that to fill.
Doug Cooper: And my final question guys, obviously, you hit that goal or benchmark your milestone of $100 million of revenue, you surpassed that. Where do you think you rank in the spear of companies in the space, Lincare, Apria [Dovetail] is obviously bigger. But where do you think you'd rank now that you're at that level?
Greg Crawford: I mean from our market research, I mean, if you take out the big four in that, I mean, we think we're definitely in the top 10, if not the top five, hitting that $100 million plus run rate revenue. We just don't see companies out there. We've also been told in that by some other bankers and things like that out here that are very familiar with the industry in that, that they do believe in that that we're likely in the top five, top 10. And definitely, we think we sit in a very unique spot. I think for us to hit that $105 million that we kind of guided was the higher end and that we hit that a full quarter earlier than expected. We had that as far as calendar 2021. We're growing really good. We feel there's a great opportunity for us. We sit in a really nice spot here to really kind of grow from here. We hit a real inflection point.
Hardik Mehta: And I'll just add to that. When you asked that question, kind of it's a little bit of a subjective as well. I mean, to look at the footprint that we have, there might be a few more, maybe two or three more players that are $100 million plus, but they do not have -- they are very local and very focused on maybe one or two states. But the kind of footprint we have, it really comes out of the top four that Greg mentioned. I don't think that there's anybody out there which has the footprint that we do along with the revenue size after you take out the first four.
Operator: The next question comes from Dick Ryan with Colliers Securities.
Dick Ryan: So Greg, you mentioned hitting your $105 million a bit early. What's your current thoughts on the timing of getting to the next milestone, I think that's been in that $135 million range?
Greg Crawford: So we've kind of talked about that being calendar 2022. We're growing really nice at that 10% rate plus. So if you just kind of factor 10% organic growth in that we have to definitely pick up some M&A. We think with our hire that's going to accelerate. And also an important piece of that is the integration of that. That's a big thing for us and that we stay laser focused on the integration of those acquired assets. So it could happen sooner rather than later, two years in a row and that we have exceeded our goals one quarter earlier than expected. Going from $100 million to $135 million and that is a bigger leap, but we also have the balance sheet to support that.
Dick Ryan: Do you continue to see or are you seeing any vendor pricing benefits coming your way?
Greg Crawford: So we have great relationships with all of our vendors. We're always working with our vendors in that to look at ways and that can allow us to serve our patients better and also being more profitable, whether that's through technology platforms or potential lower pricing. We look at our vendors and that for all sorts of partnerships that will allow us to grow our business profitably.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Greg Crawford for any closing remarks.
Greg Crawford: Thank you, operator, and thank you all for your participation today. As always, you can find us on the web at quipthomemedical.com where we will be posting a transcript of this call and also our updated investor deck. On the site, you can also view some of the exciting products and developments discussed on this call. Thank you, and have a great day.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.